Operator: Good day and thank you for standing by. Welcome to the Apogee Enterprises Fiscal 2023 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference call is being recorded. I would now like to turn the conference over to your speaker for today, Jeff Huebschen. Please go ahead, sir.
Jeff Huebschen: Thank you, Lisa. Good morning, and welcome to Apogee Enterprises Fiscal 2023 second quarter earnings call. With me today are Ty Silberhorn, Apogee's Chief Executive Officer; and Mark Augdahl, Interim Chief Financial Officer. I'd like to remind everyone that there are slides to accompany today's remarks. These are available in the Investor Relations section of Apogee's website. During this call, we will reference certain non-GAAP financial measures. Definitions of these measures and reconciliation to the nearest GAAP measures are provided in the earnings release and slide deck we issued this morning. As a reminder, the prior year results for the Architectural Framing Systems and Architectural Services segments have been recast to reflect the move of Sotawall from framing into services. Pro forma segment results reflecting this change are included in our earnings slide deck. I'd also like to remind everyone that our call will contain forward-looking statements. These reflect management's expectations based on currently available information. Actual results may differ materially. More information about factors that could affect Apogee's business and financial results can be found in today's press release and in our SEC filings. And with that, I'll call -- I'll turn the call over to you, Ty.
Ty Silberhorn: Thank you, Jeff, and thanks, everyone, for joining us today. This was another strong quarter for Apogee. Execution of our strategy is clearly driving improved results with both revenue and earnings per share reaching new quarterly records. I'm incredibly proud of our team execution this quarter and the progress they've delivered to date. This morning, I'll offer insights into how our strategy drove our record results this quarter, provide some commentary on our end markets and review our outlook for the rest of the year. Then I'll turn it over to Mark for more details on the quarter and our guidance. After that, we'll be ready to take your questions. It's now been about a year since we began to execute our new enterprise strategy. As a reminder, our strategic framework is shown on Page 4 of today's presentation. Last year, we began to take actions to address each of the three pillars. We announced a restructuring to align and simplify our portfolio, bring more clarity to our go-to-market approach and improve our cost structure. These efforts were primarily focused on Framing systems and Glass, the segments with the most opportunity to improve their margin performance. We also re-launched our Lean and Continuous Improvement program. This is the foundation of our new operating model. Our initial emphasis was in the Glass segment, and we are expanding it to other parts of the business. Our focus in these early days is on the production floor with an approach of win the hour, win the shift, win the day. Our goal is to drive near-term improvements using short-cycle feedback to make course corrections and drive repeatable results. We work to build control plans to support a new baseline and then start the improvement efforts all over again. We've made tremendous progress over the past year, which is especially evident in the Glass segment's results. We also launched several important initiatives to strengthen core processes and systems. We're building center-led functional expertise in human resources, procurement and finance. This will enable more efficient operations with more capabilities and greater scalability, which will also support future M&A work. Finally, we have added talent in key roles across the organization and brought new energy and content to our talent development programs. The results of our efforts are evident in our performance this quarter and further strengthens our foundation for future quarters. The highlights from Q2 are shown on Page 5 in the presentation. We had record revenue with 14% growth in the quarter. Adjusted operating margin increased more than 300 basis points and adjusted earnings per share doubled compared to last year, coming in at a record $1.06 per share. In addition to the progress on our strategy, our team has done a terrific job managing through cost inflation over the past several quarters, demonstrating stronger operational muscle across the Company. We've improved our discipline around cost management. We've worked with our suppliers and customers to minimize the impact of inflation and supply chain disruptions, and we've strengthened our approach to pricing. We still have work ahead of us to reach the financial goals we set at our Investor Day, but a year into our new strategy, we are proud of our progress and we're more confident than ever in the path ahead of us. We are controlling what we can control with price, productivity and cost management while set the stage for meaningful shifts in the coming years to further support our goal of being an economic leader. Now as we've spoken with investors over the past few months, the state of our end markets is top of mind for many of you. So I would like to provide an update on what we are seeing. Of course, we're closely monitoring inflation, rising interest rates and overall economic conditions to understand how they might impact demand in our end markets. At this point, however, most indicators for non-residential construction remain favorable. The Architectural Billing Index has been positive for 18 consecutive months. New construction starts have been strong, and the federal government has passed several bills that provide significant support for infrastructure and construction spending. These indicators suggest that our industry is building a strong pipeline of new projects. Nearly every industry forecast for non-residential construction calls for continued growth through calendar 2022 and calendar 2023. This corresponds to what we are seeing in our own business. We continue to see solid quoting and bidding activity. In this quarter, we won several new projects, especially in the Services segment. Looking at all the data, we have a positive view of our markets well into next year. More importantly, our strategy is better positioning the Company to outperform regardless of the state of our end markets. We're diversifying our business mix, shifting to align with changes in the market. We've won new transportation and infrastructure-related projects, expanding our backlog in these and other non-office segments like health care and education. And we're aligning our product and service offerings to take advantage of continued demand for premium office space and more energy-efficient buildings. Across our business, we're focused on those parts of the market where we have differentiated offerings that provide the most value for customers. Over time, this will build a more resilient business model with more sustainable profitability. We have meaningful organic growth opportunities in several of our businesses. These include investments to scale and grow the services segment, capacity investments in Large-Scale Optical, which will enable more diversification of their revenues and geographic expansion opportunities in both Framing Systems and Architectural Services. In addition, we are working to strengthen our M&A capabilities. We're building a pipeline of potential acquisitions to accelerate our strategy, and we're developing a stronger approach to integration to ensure that we capture meaningful cost synergies in future deals. With this set of opportunities, we're confident that we can deliver on our goal of growing faster than the overall non-residential construction market. Let me wrap up with some comments about our outlook. Generally, we see the trends from the first half of the year continuing into the second half. This has led us to increase our earnings guidance for the full year. We expect continued top line growth, primarily from Framing Systems, and we anticipate continued year-over-year margin gains led by Framing Systems and Architectural Glass. The biggest variables will continue to be the overall impact of inflation and how we manage costs and pricing. But we have demonstrated stronger operational execution around pricing, cost management and productivity. Stepping back and looking beyond this year, we are driving sustainable improvements in our business. Our priorities for the year have not changed and are listed on Page 6 in our presentation. Making progress in these areas will enable profitable growth in this and in future years. We're only beginning to scratch the surface of the productivity improvements from our Lean program. We are increasing our mix of differentiated products and services, which will be a driver in fiscal '24 and fiscal '25. We're investing to develop talent across the Company, and we're driving further progress on our transformation initiatives. Through this work, I'm increasingly confident that we will achieve or exceed the financial goals we have set for ourselves. With that, let me turn the call over to Mark for more details on the quarter and our guidance.
Mark Augdahl: Thank you, Ty, and good morning, everyone. I'm happy to be joining you this morning. This was another strong quarter for Apogee with continued positive momentum in our business. Let me provide some details, starting with consolidated results on Page 7 of our presentation. Second quarter revenue grew 14% to a record $372 million. This was led by double-digit growth in both Framing Systems and Architectural Services. Large-Scale Optical also grew by 7%. Operating income increased to $32 million driven primarily by pricing and productivity gains that more than offset inflation. Operating margins improved 8.6% and this was 320 basis points higher than the adjusted margin of 5.4% last year. And notably, this was our third consecutive quarter with adjusted operating margin greater than 8%. Interest expense increased by $600,000, primarily due to a higher debt balance. Our GAAP earnings and EPS included a $13.7 million deduction on the income tax line for a worthless stock loss. Absent this deduction, our tax rate in the quarter would have been 21.6%. This was slightly lower than our long-term rate of 24.5% due to several discrete tax items. Finally, our diluted share count was 22.2 million, down from 25.1 million a year ago due to our share repurchases over the past year. Putting it all together, adjusted earnings grew to $1.06 per diluted share. This was double last year's adjusted earnings and a new record for Apogee. Let's move on to the segment results on Slide 8. Starting with Architectural Framing Systems, Framing had another exceptionally strong quarter, Revenue grew 26%. This was primarily driven by pricing actions taken to offset inflation. Operating income was $2.5 million nearly double adjusted operating income in last year's second quarter. Last quarter, we said that Framing profits benefited by an [indiscernible] $4 million due to volatility in aluminum pricing and the timing of inventory flows. That benefit continued into this quarter, but at a much lower amount of about $1 million as our average cost of aluminum increased compared to the first quarter. Nonetheless, Second quarter margin came in at 11.9%. This is near the top end of our target margin range for Framing Systems of 9% to 12%. The improved margins were driven by pricing to offset inflation, improved mix and the benefits from last year's restructuring. Turning to the Architectural Services segment. Revenues grew 11% to $107 million. This was driven by higher volume as we executed projects in our backlog. Operating margins came in at 5.1%. As expected, this was a nice sequential improvement from the first quarter, but below our 7.4% in last year's second quarter. The year-over-year change was primarily due to investments we're making to enable future scale and growth in services. Also, the integration of Sotawall continued to suppress overall market -- excuse me, overall segment margins -- over time, we expect this transition will drive operational improvements and stronger profitability for the combined operations. Looking at orders and backlog, Services had a strong quarter. Backlog increased 15% to $785 million. We had several new project awards, including notable wins in transportation and health care segments. Our sales pipeline remains healthy quoting activity is strong, and we're optimistic about the opportunities ahead of us. As a reminder, services, orders and backlog are typically a small number of large orders. So backlog amount can vary significantly from one quarter to the next. In Architectural Glass, the team continued to make impressive progress in its strategic shift. Like the past few quarters, revenue was down compared to the prior year. This reflects the closure of the Velocity business and our strategic shift away from some lower margin sales. Operating margin continued to trend higher, reaching 8.3%. Adjusted operating margins in [indiscernible] have now improved sequentially each quarter since we announced our new strategy. Margins benefited from pricing that more than offset inflation, productivity gains from our Lean program and cost savings from the restructuring we completed last year. Finally, LSO continues to deliver steady performance gains. Revenue grew 7%, primarily driven by higher volume and the operating margin was 23.8%, up 50 basis points from a year ago. Let's turn to the cash flow and the balance sheet on Page 9. In the second quarter, we had positive cash flow from [indiscernible] margins of $28 million, rebounding nicely from the first quarter. Year-to-date, our cash flow remains negative and below last year's level. This is primarily due to increased working capital to support our growth and the impact of inflation on working capital. We also had higher-than-normal tax payment in the first half. We expect cash flow will continue to improve as we move through the year. Year-to-date capital spend was $9 million, this will ramp up the rest of the year as we put capital to work on high-return projects and evaluate opportunities to further invest in our business. We now expect full year CapEx to be approximately $40 million. During the quarter, we reduced net debt by $17 million. We also refinanced our primary credit facility during the quarter. This extended the maturity out to 2027, increased our revolver capacity and lowered our borrowing costs. Let me wrap up by discussing our outlook, which is found on Page 10. Based on our year-to-date results and increased confidence in our outlook, we are raising full year earnings guidance to a range of $3.75 to $4.05 per share. At the midpoint, that is a 57% growth over last year's adjusted EPS. For the year, we expect 8% to 10% revenue growth. This will primarily be driven by Framing Systems, and as a reminder, framing normally has lower revenue in the fourth quarter due to seasonality, and we expect that same trend to continue this year. In the other three segments, we anticipate second half revenue to be similar to that of the first half. We expect to drive continued year-over-year margin expansion primarily in Framing Systems and Glass. We will continue to benefit from the productivity and cost reductions that we've seen. We also expect continued volatility in the aluminum and glass and other commodities. This volatility does make it more challenging to forecast our business, particularly in the Framing segment. Interest expense in the third and fourth quarter should be similar to that of the second quarter, and we continue to expect long-term average tax rate of approximately 24.5%. With that, I'll turn it back over to Ty for some concluding remarks.
Ty Silberhorn: Thanks Mark. Our results this quarter continue to demonstrate how we are executing our strategy. We're improving operational execution through sustainable productivity improvements, effective cost and price management and navigating supply chain challenges. Our team continues to do a terrific job managing through these challenges, staying focused on serving our customers and driving the execution of our strategy. Our bidding and award activity is also positioning us for a stronger mix shift in the years ahead, which we also hope to accelerate with M&A work as well. Let me close by congratulating the entire Apogee team on our record results this quarter. And I know they're already working to continue our momentum through the rest of our fiscal year. With that, we are ready to take your questions.
Operator: [Operator Instructions] The first question that I have is coming from C. Moore of JCS Securities. Please go ahead.
C. Moore: I'm sorry. I got cut off. So the guidance increase, is that more a function of better-than-expected Q2 or that the second half of the year is now looking better than perhaps three months ago?
Ty Silberhorn: Yes. Chris, this is Ty. As you look at our performance in Q2, I mean, that was a very strong performance. So looking at how that and now how the first half has performed, we factored that into our guidance for the rest of the year. And you can do the math, I think, in kind of looking at the second half. We do still see upside opportunity in that second half. That's reflected in our range. But we also know the questions and concerns around the broader economy. And so, we're trying to factor that in as well that we could see some softness, although like I said in my opening comments, we're just not seeing that right now in our order run rate and especially in our bidding activity.
C. Moore: Got it. That makes sense. The 14% growth in Q2, any -- can you give a little sense in terms of what volume growth look like there? Was there any volume growth?
Mark Augdahl: Sure, Chris. This is Mark. We did see nominal volume growth although it was mixed across our segments and mix also played a part of it, but it was primarily driven by really nice pricing, specifically that pricing to offset the inflationary cost that we were seeing.
Ty Silberhorn: Yes. And I think that in -- if you look at where we did see negative volume, Chris, it was in the areas that we expected and wanted to see that negative volume. So Glass still posted negative volume and flattish, if you will, revenue. And that is a result of us walking away from some of the lower-margin offerings that they were selling and they still had this last quarter of Velocity history. And then within Framing, our window and wall business unit, where we saw an opportunity and still do to see some significant improvement in margins, they have purposely stopped quoting in a number of different project types and product offerings that we just looked at and said, even if we are best in margin, it doesn't get us to where we want to be from a profitability standpoint. So, they've seen some negative volume year-to-date as a result of that as well. When you look across the rest of the business, the volume has been positive even if it's low single-digit positive volume growth.
C. Moore: Got it. No, that's interesting. And then last one for me. Just the Framing backlog, so it's down a little bit, but I just was trying to get your thoughts here from what you just said, there are some projects that may be you're not putting that you would have. And then the other piece of that question is before Sotawall move to services, you used to talk roughly half Framing was quick return, have longer lead time. What does that ratio look like now?
Ty Silberhorn: Well, so let me answer the first question in terms of that backlog in Framing. So where we saw a drop in backlog and Framing that was primarily driven by our storefront and finishing solutions. And that is a shorter cycle business, and frankly, with some of the demand that they have seen as well as managing through some of the continued supply chain and labor conditions. They actually were building a backlog and pushing out some of their lead times, which is something that they do not want to see. So, we actually saw that as good news. The drop in Framing was driven by storefront and finishing, and that was reflective of them starting to catch up on some of those orders that we're starting to push out a number of their lead times.
Mark Augdahl: Maybe to give you some point of references there, Chris, storefront still represents about 60% of our overall AFS business and 40% then would be the windows and walls. So again, the shorter lead time would have -- the shorter to lead time business would have a greater impact [ph] on the fact that it didn't have a backlog, so.
Operator: The next question is coming from Eric Stine of Craig Hallum.
Aaron Spychalla: Ty and Mark, it's Aaron Spychalla on for Eric. First, maybe on Services, nice job on the backlog growth there. Can you just talk about how the margins are on that new backlog? And any update on how you're thinking about the right split between growth for that business while trying to maintain the profitability targets?
Ty Silberhorn: Yes. It's a really good question, Aaron. So a reminder, the services, we moved Sotawall out of Framing into Services. That was an underperforming business -- both our Harmon branded project backlog and Sotawall backlog, what they are executing in job flowing and revenue recognizing right now is work that was mostly one at the bottom of the pandemic period. That's when demand was very weak. There was pressure on margins. You saw more competition chasing fewer jobs. So they are working through that now in this fiscal year, and some of that will trail into next fiscal year. In addition to that, we saw an opportunity to significantly improve the operational execution within Sotawall by applying Architectural Services operating system. And that work is underway as they fully integrate that business into Architectural Services. And just as we saw sequentially an improvement in margin, we think that each quarter going forward, we will start to see sequential margin improvement as they address some of those challenges in the former Sotawall business. And then as we look forward, just what we've talked about, we have seen strong demand, strong bid activity. And so as that is building in our backlog, too early to guide on that, I would say that we're seeing as we build that backlog, margin improvement from where we are today. And we expect that as that flows in our fiscal '24 and '25 that, that will provide some tailwinds, particularly as we get into '25 and '26 as that project work starts to fully execute as well.
Aaron Spychalla: All right. And then maybe second for me, on the M&A. I know actively managing the portfolio as part of the three pillars that you're focusing on, and you talked about the pipeline building there. Can you just maybe give an update there on the process and the opportunity, valuations, any areas that you're kind of looking to fill in?
Ty Silberhorn: Yes. I'll give you just kind of at a high level, Aaron. So, we've invested in that year-to-date. We've added resources in terms of [Technical Difficulty] and working with third parties to support that work. Our goal is to be strategic here. So, we're strategically looking for the right fit in terms of product or services that complements what we have today in our portfolio and maybe moves us out maybe one adjacency from the market segments and applications that we're serving today. So that work right now is really focused on building that pipeline, identifying those targets. That's not to say we will be opportunistic as things come to market that we think makes sense. We will definitely jump in and look at those. But I would say there's a bigger emphasis on being strategic, which may mean we see this process still play out for another year or so. When we look at the types of targets, we are looking for businesses that fit strategically that are accretive to our long-term financial goals and that fit also should allow us to drive meaningful cost synergies in that first year. And the fact that we're going to take an aggressive integration approach on those new acquisitions will help drive those cost synergies, and that's a big shift from how we manage acquisitions in the past.
Operator: Our next question will be coming from Brent Thielman of D.A. Davidson.
Brent Thielman: Just on Framing, Ty, I mean, it looks like aluminum price as some of the other input cost components of the business has pulled back at least some. Are you seeing that reset in terms of quoted prices in the market now? Or are things still pretty strong?
Ty Silberhorn: Well, I think there's two things to remember there. So one, if you look at our Q1, we did note that Framing saw a benefit on cost flow that helped boost those margins. So, there was about roughly $4 million a benefit on lower cost aluminum that was working its way through our system, while we had already moved to adjust price to reflect the higher aluminum costs. There was still a slight benefit in Q2, but it was approximately maybe $1 million. So, we saw that as good news, right, that they worked through that, and we expected margins to come down, but they still performed double-digit margin for the quarter. In terms of market pricing, as you know, it's a competitive market. So we need to stay on top of that. We want to grow our business and particularly on storefront and finishing solutions business. So where we need to, we will make pricing adjustments. We do anticipate some of that will start to show maybe in our Q4. And that's why as we looked at our guidance and looking at how we performed in the second half, while they're working through that, they're going to be focused on working to maintain margins in that long-term goal of 9% to 12%, and I think they're on track. They're probably going to be in the middle of that as they close out the year. But while we've seen some adjustments on pricing, we haven't seen a wholesale drop across the market with respect to pricing. But that can change, and we're staying on top of it.
Brent Thielman: Yes. Understood. And then, Ty, on the Glass business, it looks like some of the margin improvement also comes from that high Velocity business shutdown. Can you help us understand where sort of the core business stands in terms of the initiatives you put in place to drive better profitability?
Mark Augdahl: Brent, this is Mark. Sure. I can give a little bit of color as it relates to what we're doing in our core business. We are really trying to drive as our strategic plan had highlighted, we're trying to drive to higher priced, higher complex type products, not projects and it's really core to the overall Glass business. They have products that are a little bit more proprietary in that space and there are plenty of opportunities for us to explore in that area. So that's the primary emphasis as it relates to that. I also want to point out the margin improvement in the quarter was also highly contributed or I should say, productivity contributed highly to the quarterly results. So not only are we moving from a mix perspective, but we've also taken cost out of the business, and that includes the costs associated with the Velocity business.
Ty Silberhorn: Yes. I'll just reinforce, Brent said. Lean has been a big driver on the margin expansion. Obviously, we've captured the restructuring benefits, that's showing up but then productivity on the production floor is showing up in Lean. And as Mark alluded to, that mix shift, we're seeing that showing up in the bid and award activity and I think that's a tailwind for that business as we go into fiscal '24 because a lot of that isn't going to flow through the plant and revenue rec until the very end of this year, and it's more of a '24-story that give additional tailwinds for that business.
Brent Thielman: Okay. And then just the last one on the Services business, I mean, I think you said you expected sequential margin improvement through the fiscal year. That's typically what you tend to see seasonally. Are you -- I guess as some of these growth initiatives, cost for growth initiatives paid, should we see some year-on-year margin improvement as well as we move into the back half?
Ty Silberhorn: I think as you look at that, they have a goal we've set out at Investor Day of being a seven to nine. I think as we get into our Q4, if you look at Q4 standalone, we see them as probably getting into the bottom of that range. But for the full year, right now, it looks like they'll be outside of that range. And that's a combination of the integration costs related to Sotawall, showing up some of the execution on some large projects that Sotawall has -- is driving right now from its backlog. And then as you alluded to, yes, we're putting a few million dollars of investment to help scale and grow that business and that will continue through the rest of the year and probably a little bit into the beginning of next year as well.
Operator: Our next question will be coming Julio Romero from Sidoti.
Julio Romero: Could you just talk about the award mix you're seeing? I believe you called out you've won some new transportation and infrastructure-related projects, if you could give any additional detail on those projects won during the quarter? And maybe how much runway do you have there to further diversify the business?
Ty Silberhorn: Yes. Julio, so that has been an effort of ours. There's -- everyone's had a lot of questions about the future of office. I think I would be remiss if I didn't reiterate, we continue to see strong demand for premium office space. And so that continues to be a driver in our backlog. That being said, as we have focused to make sure that we're going after other opportunities in that space, what we saw in our backlog growth this quarter was really non-office. So there were some office projects that were won but we saw a significant increase due to some wins in the transportation segment. We'll think airport terminals, new construction, and we saw additional project wins in health care and education. And again, there was some office space. But we look at that in total, the drivers was non-office. And at least in this quarter, that significantly reduced the percent of our backlog that is office in there. And so -- we see that as both of those good things. It's great that we're seeing a diversification of the mix. We think there's some tailwinds in that transportation, government, health care and education space because some of the federal funding that's come through. We think some of the funding and tax rebates that are coming through for energy efficiencies bodes well for our Glass business and even for our Services business because those are more complex or higher value products, that would go into curtain wall. So those are positives for us as well as we look at that backlog that we're building.
Julio Romero: Got it. I appreciate the commentary there. And I guess on the Framing segment, specifically on the storefront and finishing side. You mentioned it's a shorter lead time business and the lead time shortening and that kind of drove the framing backlog number. I guess to clarify, the lead times is normalizing, you view as kind of a good sign and more of a normalization off a high base and not necessarily as an indicator of any slowing activity there?
Ty Silberhorn: Correct. We still see very solid order volume on that. Again, across all the businesses, the trend line is up. It is choppy month-to-month, but the trend line continues to be up. They were seeing early -- earlier demand in Q1 and as we went into Q2 and then just working through some supply chain issues, and this was happening across that market in that space, lead times started to push out again. And so, they've been working to get those lead times back under control, and that drove a reduction in their backlog. And I think we expect that they're going to continue to improve on those lead times this quarter as well because that short lead time, the service component is a very strong part of their value proposition in the marketplace. So they're very focused on driving improvements there.
Julio Romero: Got it. That's helpful. And I guess, what are you seeing on the LSO side in regards to state of the consumer? Is that giving you any kind of indicator one way or the other?
Ty Silberhorn: Well, we are watching it. Right now, it's still a healthy condition. So, our leader for LSO sees the news and the CPI headlines, et cetera. They are not seeing a falloff in their demand at this point. We've probably been a little conservative and anticipating maybe some of that will start to show in Q4. But right now, as they finish the second quarter and as they look at their order rates into Q3, it is holding up very well.
Operator: Thank you. I would now like to turn the call back over to Ty Silberhorn for our closing remarks.
Ty Silberhorn: Well, thank you again for everyone joining us today. And I just want to reiterate and thank our team again for really strong execution in this quarter. But more importantly, as we alluded to earlier in the call and through this Q&A, we see really strong momentum in driving our long-term strategy of really building a strong business, being the economic leader in driving those margin improvements and setting ourselves up to outperform the market regardless of that outlook, both from a revenue and an income basis as we go forward. So thanks, everyone, for joining us today, and we'll talk to you again in a few months.
Operator: Thank you, everyone, for joining. Have a good rest of your day. Everyone may disconnect.